Operator: It is now my pleasure to turn today's program over to Patrick O'Brien, Supervisor of Investor Relations. Sir, the floor is yours.
Patrick O'Brien: Thank you, Joella and welcome to Ligand's fourth quarter and full year 2019 financial results and business update conference call. Speaking today for Ligand are John Higgins, CEO; Matt Foehr, COO; and Matt Korenberg, CFO. We will be using slides to guide our discussion today that are located on our website under the IR Calendar section of the website. I know it's not easy to find, we're working on fixing that, but for today, that's where you'll be able to get to them. We will also be using non-GAAP financial measures and some of our statements will be forward-looking. Additional information concerning risk factors and other matters concerning Ligand can be found in our Ligand's earnings press release, the slides associated with today's call, and our periodic filings with the SEC. Ligand undertakes no obligation to revise or update any statements to reflect events or circumstances after the date of this conference call. I will now turn the call over to John Higgins.
John Higgins: Patrick, thank you and welcome everybody joining us for this call. We're very pleased with how 2019 finished up. We had outstanding financial performance and closed some transactions and licensing deals. In the second half of the year, we saw some new product launches. Now, in the beginning of 2020, it's an excellent time to be speaking with investors. We look forward to framing our results, but then also talking about 2020 and the business going forward. On Slide 4, a very high level chart that plainly lays out the three things that we think Ligand investors should be focusing on when they evaluate the company. Of course, we know we're a biotech company. We are first focused on financial growth -- financial performance. As we talk through the slides, we'll talk about the contributors to revenue. We're very pleased with how we can leverage our business efficiently with a flat cost structure and as we'll talk about, we now have a much lower share count in light of the recent share repurchases. Financial growth is important for investors and we are focused as a management team on delivering superior returns for both cash flow and profitability this year and the years going forward. A second factor are our technologies. We're proud of our technologies. They've come to us through early investment with the early years that we were founded 30 years ago, but we have very substantially augmented our technologies through smart acquisitions. We're going to talk about Captisol and OmniAb, but these technologies help drive enablement and discovery of important drugs in the industry. And finally, investors should focus on our portfolio. Again, people who know Ligand, they know our portfolio and the value of it, but the quality and the quantity of our portfolio is really key and integral to driving our future success. What I'm going to do is now take a slide and talk about those three themes and then we'll turn it over to Matt and Matt to talk about the results and our operations. On Slide 5, this is a simple visual aid. Investors know we divested Promacta last year, fantastic asset, we discovered that drug. We chose to divest it in what we think was a very good time for the company securing an outstanding sale price. When we look at the business, again, this is a financial growth story, when we look at the business the last few years and then now our guidance for 2020, in all three of our revenue segments, we're seeing very attractive double-digit growth. We're proud of this royalty. This is a royalty model. We start with that with the blue bars. Material sales, this is one element of our technologies. We sell an ingredient to formulate products. We're very pleased with the recent performance of that and then contract payments. Contract payments are substantial, they are growing and we're very pleased with those trends as well. When we look at Slide 6, this is another cut of our financial performance for last year. Now, Matt Korenberg, is going to go deeper into some analytics, but this is a simple chart that shows you the balance of our business. Three main sources of revenue. In the case of royalties, we have two leading products: Kyprolis and EVOMELA that is really driving a lot of that royalty line for right now currently, but we have 11 other products, a couple of them launched, brand new approvals last year or were approved in new territories. So we're very pleased with that royalty segment. Material sales, again, this is a segment of Captisol. We have over 100 distinct customers. This is important, it's not one or two that's driving the bulk of this. Over 100 distinct customers that are buying for clinical use and commercial use. And finally, contract payments. This is an important segment of our revenue. Part of it is tied to service revenue, servicing our relationships, but also it's the license fees we get for securing new contracts and for hitting milestones for achieving success along the way, 70 distinct payments. Again, outstanding performance and a highly diversified revenue source. On Slide 7, I just want to take one slide and talk about our technologies. Again, this is a second hallmark, a pillar of our story. There are two -- we actually have four technologies underlying the story, but there are two that are particularly prominent. These are best-in-class. In the case of OmniAb, this is an antibody discovery platform built upon multiple species of genetically modified animals to help our partners identify and advance potential antibodies for therapeutic treatment. We built this business around the acquisition of OMT four years ago, that was 2016, and along the way we tucked in a couple of other small adjacent technologies to help fortify that business. We are way ahead of plan, well ahead of plan for our expectations in terms of revenue contribution, in terms of new licensing, and our ability to secure IP and inventions that our partners want. In the last four years, we collected $114 million in revenue payments and notably we're finding that the royalties that are potentially going to launch, projected to come online sooner than we are anticipating three years ago. This is due to the quality of data that is coming out of the clinical programs and the aggressive investment. We are getting information from partners in confidential meetings about substantial investments and what they're doing to advance the programming. The new deal flow remained strong, we did nine deals last year and we're very pleased with this. Now with Captisol, it's been around our business a little longer. We've got more history with it. We're very pleased with this business. Not only are we hitting record revenues out of Kyprolis royalties, we're seeing product launch in China, we saw ZULRESSO launch this year for a new indication, but this is a technology that is driving tremendous opportunity for the company. Notably, about nine years ago, we spent $35 million around the time of acquisition to acquire the technology. To date, we've secured over $350 million in revenue for the Captisol based business. Finally on Slide 8, I just want to comment with some updates around our partnered portfolio. Again, investors who know us, they know the quality and the depth of our portfolio, but we have over 200 fully funded partnerships across 120 different partners. We have big pharma, we have big biotech, we have specialty pharma, we have generic companies, private or small cap biotech. It really represents the industry. Companies are coming to us, they want what we have, they are securing licenses, they pay a license fee, sign up for milestones and if things are successful commercially, ultimately, we'll get a royalty. This year we have over 40 clinical and regulatory events and there is a potential for as many as eight new products that could be approved out of this portfolio over the next three years again further driving that growth in our business. With that, we'll turn it over to Matt Korenberg to go a little deeper into the financial performance.
Matt Korenberg: Thanks, John. As you can see on Slide 10, 2019 was another solid year for Ligand with strong financial performance and execution of our business model. The business continued to generate significant cash with 2019 resulting in our seventh consecutive year of strong earnings and positive cash generation. For the year, total revenues were $120.3 million and as I'll cover on the next slide, our business was strong across each of our revenue lines. As an example, royalties were up 20% year-over-year in Q4 2019 versus Q4 2018 excluding Promacta. Our adjusted EPS was $3.09 and in addition, we generated over $700 million in after-tax cash proceeds from the $827 million sale of our Promacta assets with the core business excluding Promacta generating another $70 million. Revenue and cash flow generation exceeded our expectations and guidance that we gave at the beginning of the year. In addition to the strong operational success in 2019, we returned approximately $450 million to shareholders through our share repurchase campaign. In Q4, we spent $82 million on share repurchases and since the end of the year, we've repurchased an additional 380,000 shares of our common stock for $34 million. As we'll disclose in the 10-K when we file, we have about 16.5 million basic shares outstanding and at today's stock prices about 17 million fully diluted shares. We began actively repurchasing shares in November of 2018 and over the past 15 months, we've repurchased about 5 million shares or 24% of our outstanding shares. We currently have a $500 million share repurchase authorization in place and have utilized about $205 million of that amount to date. Even after returning a total of $550 million to shareholders over the last 18 months, we've finished the year with over $1 billion of cash. In addition to the capital return, we remain focused on identifying acquisitions across several types of targeted companies that I'll talk about in a few slides. Turning now to Slide 11, you can see that 2019 performance on revenue. Total revenues for the fourth quarter of 2019 were $27 million and included $11 million of royalty revenue, $7.1 million of material sales and $8.8 million of milestone and license fee revenue. With respect to royalties, Kyprolis and EVOMELA along with some launches in growth across a number of smaller products in the portfolio drove 20% year-over-year growth as I mentioned. Material sales continued their strong performance this year and finished with a record year, and the milestone and license fee line finished the year with a solid quarter supported by our recurring service revenue and annual license fee revenue as well as the normal course milestones. We also are showing here the 2019 revenue numbers adjusted to remove the two months of Promacta royalty we collected in Q1 2019. This will provide a better benchmark, as I discussed, guidance shortly. I want to turn now for just a minute to dig a bit deeper on our contract revenue line. First, it is made up of generally four types of payments. One bucket is our upfront fees and license fees that are paid upon any new deal thereby granting access to our technologies or assets. Another bucket is what many traditionally think of as milestones. A partner advances a product successfully and then pays us on success. This could include things like payments upon business progress events like financings or sub-licensing of an asset. A third category includes our annual license fees that partners pay us for access to the technology and then we differentiate this bucket from the first bucket because a deal is already in place and we know going into the year that we're going to get those license fees. The last group principally includes payments that our partners make to us for work that we're doing on their behalf related to our OmniAb and Vernalis VDP platforms. We typically tell investors that we forecast $40 million to $60 million a year from our contract payment line. As we consider those numbers, it's important to realize that we never include payments from that first bucket I mentioned, new deals, so deals like our $47 million payment from WuXi a few years ago or $20 million payment related to our diabetes asset license would not be included typically in our forecast or that $40 million to $60 million number. Also the final two buckets I mentioned, our annual license fees; service and collaboration revenue, are items for which we have very good line of sight from year-to-year and are generally recurring in nature. In 2019, those items total over $20 million of revenue and provide a significant base for our 2020 estimates. Turning now on Slide 12 to revenue guidance. As detailed in today's press release, we are introducing our full year 2020 guidance along with some detailed full year financial information. We expect growth across all three revenue lines. First, we expect continued solid royalty revenue growth of our continuing royalties for 2020. For the year, we expect $38 million of royalty revenue, which is up 16% from the $32.8 million for 2019, which -- excluding Promacta. For material sales, we expect another record year with approximately $35 million of Captisol sales, which is up 11% from the $31.5 million in 2019. And lastly, for milestones and license fees, we expect $48 million for 2020, which is up 15% from the $41.8 million in 2019. Slide 13 covers more detailed financial guidance. The revenue components that I just went through, total -- translate to $120 million of total revenue for 2020 and then on the expense side, we expect the overall corporate gross margin to exceed 90%. For R&D, we expect $48 million to $50 million of R&D expenses for the year. Excluding stock comp and other cash charges, we expect that the R&D expense will be $26 million to $28 million. For G&A, we expect the total expense to be $38 million to $40 million and excluding the non-cash charges and stock comp, we expect G&A to be approximately $22 million to $24 million. Together, we expect the cash operating expenses for 2020 to be $49 million to $51 million. Related to interest income and other income, we continue to maintain our cash in highly liquid short-term investments. In 2019, we realized over 250 basis points of interest income on our cash. In today's interest rate environment, we expect that number to be below 200 basis points for 2020. Given the lower expected yield environment, we expect a net decrease in the other cash income line from about $23 million in 2019 to $17 million to $19 million in 2020. These revenue and expense components all translate to a full year 2020 adjusted earnings per diluted share of approximately $3.40, which is up 30% -- 35% from the 2019 number of $2.52 if you adjust for the Promacta sale. Lastly, just a quick comment on quarterly pacing. We expect royalty revenue to increase each quarter with Q1 being the lowest royalty quarter for the year, just based on the tiering of our royalty structures and as of now, our Q1 royalty estimate is approximately $6 million. Beyond that, the pacing of milestones and material sales is always uncertain for both Captisol material sales and milestones and contract payments this year, we do expect the revenue to be more heavily weighted in the second half of the year. Finally, on Slide 14 to talk a little bit about capital deployment. We'll continue to evaluate opportunities to augment our great financial results by evaluating capital return alternatives and strategic transactions. We've used about $350 million of cash and stock to acquire companies over the last nine years and it's played a significant part in creating the value that has driven our market cap from below $200 million to about $1.6 billion today. We remain focused on identifying acquisitions across several types of target companies. We look for companies that will complement our existing OmniAb, Captisol, and VDP technology platforms. We look for new technology platforms that will provide near-term revenue contribution and engines for additional licensing in the future and we look for companies that have collections of partnered programs or assets of interest in the biopharma industry. In addition, we continue to look for opportunities to fund promising late stage clinical trials in the form of our product investment effort. We spend a significant amount of time evaluating these types of capital deployment opportunities and regularly have 15 to 20 ideas running at any given time. Obviously, most of these investments don't come to fruition due to a wide variety of reasons, but we feel confident that there is significant potential deal flow to deploy our capital in a value enhancing way. We believe that we have about $500 million to $750 million of cash to spend on acquisitions without requiring any refinancing of our convertible bond. We're diligently focused on smartly deploying our cash resources that can lead to significant revenue generation for Ligand. Finally, I'd just like to direct listeners to review our Q4 earnings release issued earlier today and available on our website for a reconciliation of our adjusted financials to our GAAP reported items. With that, I'll turn the call over to Matt Foehr for some comments on our portfolio and pipeline.
Matt Foehr: Thanks, Matt. I'll start off by reviewing the performance of a couple of our technologies starting with OmniAb and referencing Slide number 16 in the deck. 2019 was OmniAb's most productive year in terms of new OmniAb partnerships with nine new deals. We also note the nice diversity of partners from start-ups with interesting novel biology to established global players like Takeda and Sanofi with deep R&D infrastructure and a history of success with antibody drugs. We view OmniAb as a best-in-class technology and we invest significantly in the platform to continue innovating and keep it on the cutting edge of antibody discovery technologies. Last year, we launched our newest transgenic chicken platform known as OmniClic which is designed to facilitate the development of bispecific antibodies. OmniClic received substantial attention from existing OmniAb partners and is already being utilized in several new partnered programs. Our scientists are also progressing well in the development of a Heavy Chain only chicken, which we expect will be yet another novel offering and expansion of the OmniAb platform. The Heavy Chain chicken is being funded via a collaboration with Johnson & Johnson and our plan will be that it is made available to all of our OmniAb platform partners when it's developed. The acquisition of Ab Initio in the second half of 2019 also added to our technology capabilities adjacent to the OmniAb platform by combining important antigen generation technology to our antibody discovery technologies and expertise. Generating quality antigens is a key precursor step to antibody discovery and both existing and prospective OmniAb partners see the value of this new capability and are seeking to leverage it for programs involving involving challenging biological targets. We nearly tripled the number of partners accessing OmniAb and as our roster of OmniAb partners expands, we are also seeing an even quicker expansion of the number of the number of OmniAb programs in our portfolio as reflected on the right hand side of the slide. There are now 38 clinical trials either recently completed or running with OmniAb derived antibodies. The number of trials continues to grow as partners continue to evaluate expanded indications, especially in the oncology field. The most advanced of the OmniAb programs is CStone's CS1001, which is a monoclonal antibody directed against PD-L1 that was discovered using our OmniRat. CS1001 is being investigated in a number of ongoing trials including a Phase 1 bridging study here in the U.S., a multi-arm Phase 1b study, two pivotal Phase 2 studies and four Phase 3 studies in several tumor types. 2020 promises to be an important year with more than a dozen OmniAb related clinical trials scheduled to be completed. Our partners clearly are continuing to invest significantly in their OmniAb programs. I'm going to switch now to our Captisol technology in slide number 17. 2019 was our biggest year-to-date for Captisol and the technology continues to provide value to our partners as we expand our active Captisol Drug Master Files in the U.S., Canada, Japan, and China. In addition to the DMFs, the global footprint, our reliability of supply out of our two manufacturing plants and multiple distribution facilities as well as in established and consistent quality profile are also significant value drivers for our partners. Captisol has a rich history of enabling groundbreaking medicines in cancer, CNS diseases like postpartum depression, infectious diseases and others. And I note, that it was recently disclosed that our partners at Gilead Sciences are making remdesivir available for the emerging coronavirus threat. Remdesivir uses Captisol in its formulation. Now Slide 18 highlights a view of our portfolio of partnerships and gives a sense of its depth and diversity. I want to note that these are not all of Ligand's partnered programs listed as reflected in the development stage level details of the slide. Ligand's portfolio of partnerships has never been larger or more diverse than it is today with over 200 programs and more than 120 different partners pursuing research in 19 different therapy areas. The portfolio strength is driven by partners with scientific expertise and focus in key therapeutic areas along with diversity and the quality of our technologies that support and enable their work. The next slide shows a selection of potential pipeline events and I'll also briefly highlight selected partner programs and mention a few of them here that we think investors should be watching. BMS's progress on Captisol enabled BMS986231 for cardiovascular disease. They've highlighted cardiovascular disease as the key franchise within BMS and we look forward to their further progress with this Captisol enabled program. Takeda has indicated plans toward a potential accelerated U.S. filing for Captisol enabled Pevonedistat in myelodysplastic syndrome or MDS and they are also conducting a Phase 3 study in AML. And our partners at Palvella Therapeutics announced that they now commenced the Phase 3 portion of a Phase 2/3 pivotal study of PTX-022 in Pachyonychia Congenita. This is a fast-track designated program that aims to be the first targeted therapy addressing the root cause of what is a chronically debilitating and rare genetic disease. Patients in the Phase 2 portion have met the pre-specified clinical response criteria and have advanced into the Phase 3 portion. Palvella also decided to implement an open label extension study and we see both of these as generally positive developments for the program and note that the pivotal top line study results are expected to be available in Q4 of this year. Verona recently announced positive top line Phase 2b data in COPD for ensifentrine when given on top of thyrotropin therapy and plans to progress to Phase 3. The primary endpoint was met at all doses tested and ensifentrine produced clinically and statistically significant improvements in lung function following just four weeks of treatment. This asset came to us from our acquisition of Vernalis and what we now term our VDP platform, which has been contributing nicely to the business. Retrophin's Sparsentan is in two Phase 3 trials now for rare kidney diseases and lastly, I'll mention Viking which is now in a Phase 2b study called the VOYAGE Study for VK2809 in biopsy confirmed NASH. On the next slide, while discussing the pipeline, I also like to mention that I'd encourage investors to follow Ligand on Twitter. We found that Twitter is a great way for us to communicate developments on our partnered pipeline, on publications, and on other events that are relevant to our stakeholders. And I'll wrap up briefly with a discussion of some internal R&D. We announced positive top line results from our Phase 1 clinical trial of Captisol-enabled Iohexol last year and our team is now working toward the goal of filing a U.S. IND and start a Phase 2a trial in the second half of this year. We also continue to make very good progress on our selected internal antibody programs that leverage our OmniChicken technology and we'll update investors as we present data and consider partnerships for those programs. And with that, I'll pass the call back over to John.
John Higgins: Yeah. Thank you. On Slide 22, just to wrap up. We want to just again frame the business for investors. Ligand, we are devoted to creating and driving shareholder value and again our business model, we're focusing on three things, financial growth, we've talked about. We're very pleased with our revenue performance and our outlook. If we can keep driving revenue along the three key segments, keep expenses flat, which is our expectation and now with the new lower share count the last year or so, we believe we have a significant potential to deliver superior cash flow and profitability per share returns. The technology is best-in-class. We like our technologies, they are valuable for our partners. We're looking to augment those not only building new IP around what we own, but also expanding by acquiring or bolting on other adjacent technologies and the portfolio. That is the future of Ligand. We're very proud of the quantity and the quality of our portfolio. Investors should know what our focus this year and next year, the next few years, deploying capital. We think we are very good stewards of capital. We understand financial management, financial stewardship. We have a very robust balance sheet. We've smartly deployed capital the last five years to 10 years, we expect to continue doing that and Matt Korenberg outlined the four key areas of focus: customer service, we know it's not just about securing a license, it's about serving that customer. We have a growing segment of service-related revenue, it's lucrative, there's good margin in it, but more importantly, we know by providing expert service and answers, we can help accelerate the potential for success or timing for when certain milestones might be achieved. That's a priority for us and operational excellence, continuing to do what we do to drive our science and decision-making internally. Finally, just a little insight on our team. We're very proud of our culture. We welcome investors to come and visit us at the company. We've got a fantastic team. It's a culture of yes, we're hard working people and it is based upon great science and great scientists. I do want to comment on our Board of Directors. We've got a very diverse Board of Directors in experience and gender, highly experienced across the industry investments, pharmaceutical management, business development, and notably just this past few months, two of our Directors -- two members of our Board, Nancy Gray and Sarah Boyce were named in WomenInc magazine as 2019 Most Influential Corporate Directors. Obviously, we're pleased with that. And finally, we want investors to know that we are focused on ESG and corporate governance. We are working on adopting and implementing policies and practices aimed at improving our environmental sustainability positively impacting our involvement in the social community and maintaining and cultivating good corporate governance. Now by focusing on these environmental, social, and governance, the ESG policies and practices, Ligand believes that we can effect a meaningful and positive change in our community and maintain an open and collaborative corporate culture. We are pleased with our performance, we're pleased to report these results and with that, we'll turn it over to the operator for Q&A.
Patrick O'Brien: All right, Joella can tee up by the first question please. Thank you.
Operator: Thank you and at this time, we would like to take questions. [Operator Instructions].
John Higgins: I'm sorry, operator, I'm seeing four people queued up to ask questions, how are we not kicking over to them?
Operator: Okay. All right. Could the audio operator -- could you give us our first question. The line of Matt Hewitt is now open, you may ask your question.
Matt Hewitt: Good afternoon, gentlemen. Thank you very much for the update and the outlook for 2020. I guess my first question given the success that you've been having with OmniAb and the nine new partnered programs or nine new deals that were signed in 2019, how should we be thinking about that for 2020? I mean I would assume that you've got a pipeline building, but do you expect a similar number of partners to be signed in 2020?
John Higgins: Yeah, Matt, good question, it's John. Last year was a fantastic year not only in the quantity, but notably there were two high value, high marquee deals with Sanofi and Takeda. Generally, we've been targeting about five a year and that's our outlook for this year. We update along the way as we meet with investors throughout the year, but that is our target and it feels about right for the 2020 outlook as well.
Matt Hewitt: Okay, thank you. And then maybe if you could help me a little bit or help us a little bit with the royalty number, it's a little bit below what I was expecting, and I didn't have Promacta in my estimate, obviously for '20, but maybe if you could kind of breakdown, if you're comfortable doing that breakdown where Kyprolis and EVOMELA in particular, how those should trend over the course of the year?
Matt Foehr: Thanks, Matt, just to be clear here, you're talking about the 2020 projected royalty number?
Matt Hewitt: That's correct.
Matt Korenberg: Yes, so with Kyprolis, given the Q4 number that was solid, we are essentially looking at that number rolling forward and comparing that with the consensus that we see out there. The consensus we see out there is about $1.2 billion of Kyprolis revenue and so that's the number we're working from and we'll have those slides I'm sure over the course of the year. On EVOMELA, the next biggest number obviously, we have not seen on the Kazia Q4 report this year, but obviously the first quarter from Kazia was a good quarter in Q3 and we look forward to good growth out of EVOMELA next year and that's probably the two biggest components that will get you to the royalty number.
John Higgins: And one just a comment, ZULRESSO, it's a product approved middle of last year. Obviously, we're pleased with our partnership with Sage and the work they've done. It's an important medicine in a vitally high value need medical target. We are taking a very conservative outlook this year. Sage has not reported Q4, we don't have a trend line. Ligand is taking a very, very conservative view of that ramp. Sage has described need to get authorization and reimbursement in line and the like. So that may be one factor but we approach this year for projections to be conservative. So there is no, I'll say, downside disappointment or surprise around that product line until we get more trend line information.
Matt Hewitt: That's very helpful. Thank you. And then maybe one last one from me and I might have missed this earlier, but regarding Iohexol, you are going to plan or you are planning to go ahead with Phase 2 trial on your own versus partnering now?
Matt Foehr: Thanks, Matt. This is Matt Foehr. We ran the successful Phase 1 trial last year. We ran that trial in Canada. It got positive Phase 1 results. We're really pleased with that and so the next step for the program internally is the filing of an IND, which we expect here in the U.S., we expect to do in the second half of this year, the next study conducted under that IND will be a Phase 2 proof of concept study in patients with renal function undergoing invasive coronary angiography and the main purpose of it will be to determine equivalents of image quality of CE-Iohexol to GE's OMNIPAQUE and then compare the renal safety of the agents as well. So that trial will have about 140 patients in it. It's one that we know we can run internally and we're ramping that up and at the same time as we always do, we're assessing the partnering landscape and partnering potential.
Matt Hewitt: That's great, thank you very much.
Operator: Next question comes from the line of Joe Pantginis. Joe, your line is now open.
Joe Pantginis: Hey guys, good afternoon. Thanks for taking the questions. Three things I want to focus on for us. If you go to your prior press release around coronavirus, obviously the Gilead opportunity is clear and you mentioned the potential around the OmniAb platform, but I wanted to ask the question more broadly, obviously, we're not sure which way coronavirus is going yet. Is it going to burn out like it did SARS or is it going to get worse, but I guess since OmniAb is currently or the majority of your assets are focused on oncology, are you getting increased interest overall for infectious diseases?
Matt Foehr: Yeah Joe, this is Matt Foehr. Yeah, we've fielded inbound interest specific to coronavirus, specifically to leverage our OmniChicken platform as well as on the OmniRat and there is well established literature out there that antibody approaches can be used for infectious diseases. So that's one element. And then as you referenced and we announced earlier this week we are obviously focused on supporting our partners at Gilead as they ramp up production substantially of remdesivir which uses Captisol in its formulation.
Joe Pantginis: Got it. No, that's helpful and then just switching back to Iohexol for a second, glad to hear the plans for it moving forward, I guess, can you just spend a second and of course you've done this around the data, when you look at the commercial profile of the drug. Obviously it's around safety, but what do you consider the potential rate limiting steps with regard to potential physician uptake of the asset as an imaging agent. Thanks.
Matt Foehr: Yeah, Joe. So we've, from the start of initiating the program have -- it's been very well established that renal safety is an important consideration when people are going in for elective or non-elective contrast using or therapies and tests and that's continued -- the literature around that has continued to grow. There was a New England Journal of Medicine publication that highlighted this and as we talk to experts, it's very clear to us that there is a substantial need out there for patients who undergo scans that need to be -- the physicians' need to ensure that the renal elements are not compromised. So we do see a real need there and expect that the market would eventually see that as well should the trials be successful, of course.
Joe Pantginis: No, that's great. And my last one, if you don't mind, obviously Novan just put out an update about their plans going forward in Molluscum, but obviously the data were a little gray and they're looking to get some very important guidance from the FDA, if you will. So I was just curious what your views are on moving that program forward or the potential of it moving forward and what your goal would be to see from the FDA?
Matt Korenberg: Yeah, Joe, it's Matt Korenberg. Yeah, so the Novan folks are definitely planning to meet with the FDA to, as they said on their initial call or initial press release, try and determine how much of the data that they've generated already is usable essentially and what the clinical plan looks like going forward. We're obviously getting our information from them and we don't know anything that's really not public, but from our perspective, it looked like the drug did work and that it really was a trial design or trial execution issue and so our hope is that they will find a way to continue to move that program forward and rerun the trial eventually get to the finish line in a successful way.
Joe Pantginis: That's perfect. Appreciate it guys. Thanks.
Operator: [Operator Instructions] And next question comes from the line of Larry Solow. Larry, your line is now open.
Larry Solow: Hey, good afternoon guys. Just a quick update -- excuse me, a quick follow-up on the Novan. Did they get any more funding. I know that you did some funding obviously from you guys when you did that partnership. Are they going to need more funding to continue to do work on this. So I'd actually didn't see their release.
Matt Korenberg: Hey, Larry. They said initially when they put out their press release that the funding they had on hand was really sufficient to get through Q1 of this year. They didn't say explicitly that, that was as far as it would go, but my sense is they definitely need to raise some money to go ahead and run that trial.
Larry Solow: Got it. Okay, got you, Okay, just a couple of questions, mostly follow-ups. On the Kyprolis and the EVOMELA expectations. So just to review the Q4 number, are you essentially just sort of taking that run rate number or it was a little bit of growth in '20, is that sort of how you are looking at it?
Matt Korenberg: Yeah, I mean, as we always do, we look at the consensus and my point about the Q4 was just that with as you just said with the Q4 number and a little bit of growth, you can get to the consensus number pretty easily of $1.2 billion.
John Higgins: And just a little more color. As investors saw out of Amgen and Ono's reports, Amgen had real nice growth in the U.S. Rest of world for their number looked down a bit. We believe that part of that is FX, currency exchange related. We've seen this with other pharma companies who've announced. So that's a factor. Japan, the Ono numbers were fantastic, highest growth ever by a nice margin. So we put that together, we do see growth, but as Matt mentioned, we're using Street estimates to help guide us, we're looking at about $1.2 billion revenue figure for Kyprolis for our assumptions for this year. [Multiple Speakers]
Matt Foehr: I'll add as well. This is Matt Foehr. Obviously, we have and continue to be -- Amgen has and continues to be a great partner and very committed, very active in clinical activities. Kyprolis, so multiple Phase 3 studies ongoing now, the IKEMA study, which is in combo with Sanofi's isatuximab. The A.R.R.O.W.2 trial, which is comparing a once-weekly and twice-weekly Phase 3 trial and then the Phase 3 [Kober] study also and they continue a lot of Phase 2 work as well. So we continue to be very pleased with the work they're doing around the asset.
Larry Solow: And the supplementary NDA that's, is that just for a combination with DARZALEX, is that's what you expect in the filing this year?
Matt Foehr: That's correct. There is also obviously to work. There is also filings in new markets like China via the Beijing collaboration that Amgen announced last year.
Larry Solow: And the start, as you mentioned, is one of these studies. I know they're doing a study or more than one I assume in front line, is that something that we might see within the next 12 months or is that beyond that.
Matt Foehr: Yeah, they haven't given precise timing on that, but they've got multiple studies in what's called newly diagnosed multiple myeloma combining Kyprolis with DARZALEX and REVLIMID. So yeah those trials are ongoing as well.
Larry Solow: And then just switching gears on to the EVOMELA, you mentioned Kazia, you haven't seen their report Q4, which obviously is their sort of first full quarter out of the gate for sales in China. I know they've had some pretty optimistic views that this market and China could be equivalent to the size of the U.S. maybe not on volume, but with price making that up. Can you just, obviously not initially in the first 12 months, but are you assuming some contributions and growth overall -- contribution to China and growth overall in EVOMELA which was sort of flat in the U.S. in the last year.
John Higgins: Yeah. Hey, Larry. I think that's exactly right. We basically view it as relatively stable in the US and ramping from a launch to about the same size of the US over a few year period.
Matt Foehr: Yeah, Larry, on the market, it's Matt, on the market there, keep in mind that EVOMELA is the only approved melphalan in China unlike the U.S. where there are oral forms and IV forms. It is the only approved form.
Larry Solow: Right, so that should afford them the ability to price it at a branded price, not a -- there'll be no generic competition I guess right so this should get better pricing [Multiple Speakers]. Right and then just switching gears to the OMT, you've obviously given some good scoreboard updates on the -- as we continue to see, you acquired it 3.5 years ago, whatever that was, four years ago on both the partnerships and the programs. Can you maybe just give us a little color. Obviously, I know a lot of the revenue is back end loaded, but I think some investors missed a key that a lot of your milestones are driven by events long before approval and you mentioned sort of the base of $20 million in that $40 million to $60 million range that sorts of reoccurring. Is the majority of that from OMT. Could you maybe give us a little color on how that's grown and where you expect it to grow over the next couple of years?
John Higgins: Yeah, so on the recurring side, there's really a few different things that contribute to that, its work with our VDP platform and work with the OmniAb platform principally on the chicken side and then the annual license fees that come with the OmniAb business. So in total, those three buckets are in excess of $20 million and has been growing pretty significantly since -- over the last several years, particularly as a result of the OmniAb acquisition.
Larry Solow: Okay, just comments if any, any updates on Baxdela. Is that product just dead now or what's going on? Melinta is sort of on life support. Are they trying to raise funds or anything going on there that maybe that product could be sold or something?
John Higgins: Yeah, Larry, Melinta obviously I'll say changed hands right, Baxdela, clearly there is a need for novel antibiotics. You go to any infectious disease conference and you realize very quickly how important it is that new antibiotics are being developed and pursued. So no real detailed update on its commercial status at this point, but obviously there are medical needs out there for new antibiotics and we continue to watch that space.
Larry Solow: Okay and then just last question on the use of capital. Obviously, acquisitions seem to be your primary and you've already bought back a significant amount of shares, it looks like you bought back about another one million back since -- during the quarter, is that right or since you reported last. Any thoughts about -- can you -- are you restricted or can you actually buy back the convert, which I believe trades at a pretty significant discount?
Matt Korenberg: Yeah, thanks, Larry. So just generally on share repurchase and capital return more broadly. As I went through in my prepared remarks, we've spent over $0.5 billion returning capital to shareholders, which was really a big part of the plan when we sold the Promacta asset if the story played out sort of the way we expected it to play out. We've done that now and our share repurchase going forward, we expect to be relatively minimal in the near-term as we explore kind of where the markets and stock price goes over time. We obviously continue to think the stock price is significantly undervalued, but we had a defined plan to return a significant amount of capital to shareholders and we've gotten through that portion of the plan. We could buy back the converts. They trade at a discount to the par is and where we can have to pay them back in a few years. We continually evaluate that as well, but really at the moment, we're focused on M&A and the strategic agenda. And I think the bulk of the capital we spend over the balance of this year will be on the strategic agenda based on what we expect now. Just to illustrate that, our guidance that we gave for this year does not assume any further share repurchase during the year.
Larry Solow: Got it. And do you see without getting into details -- I don't want to ask you how the M&A queue looks, but I will go ahead and ask that. Do you see just sort of the color on the Q or some of these acquisitions or companies that you may be targeting, do you see some larger opportunities, you know, an ability to without forcing anything, spend a lump sum of money in one place?
John Higgins: Yeah, we continue to evaluate everything from the smallest deals to things that are upwards of $500 million to $1 billion and more. As I typically will say the higher value assets are harder to make happen for lots of different reasons and the lower ones tend to be more transactionable. And so we'll see what plays out but we are evaluating the whole landscape.
Operator: We still have time for one more question. [Operator Instructions] Our next question comes from the line of Balaji Prasad. Balaji, your line is now open.
Balaji Prasad: Hi, thank you and good afternoon everyone. So I'll just restrict myself to a couple of questions. Firstly, thank you for giving the update on all the partner programs, but I want to bring the focus back to your technology itself and understand your partnership approach better. So can you help me understand why the economics of the Sanofi deal was different compared to other partnerships and probably an extension to that question is, is that something that you find desirable or would want more of that you want to see more partnerships with larger upfronts or rather in a more steady payout stream?
Matt Foehr: Yeah, thanks Balaji. This is Matt Foehr. Obviously, when you have a technology like the OmniAb platform, right, that has multiple species with fully human immune systems, we've got adjacent technologies around it like our antigen technology and as partners when they enter into a license with us, they also get access to our future innovations like our OmniClic that we launched last year and the Heavy Chain chicken that I talked about earlier. We obviously have a range of partners who have interest in leveraging the platform from small players that have novel biology all the way up to the Sanofis of the world, right, who also have novel biology, but also have substantial capabilities and there are generally three different economic levers in any deal upfront element, milestones that are paid along the way and then the royalty on the back-end and various touch points with partners or areas of sensitivity can be different partner to partner. If you're a small start-up company, they maybe more sensitive to upfronts and less so on milestones or royalties and with someone like Sanofi, they approach us, obviously, they've had a rich history in past collaborations of using other transgenic animal platforms namely in the mice space and so those that follow the space well realize that Sanofi recognizing the importance of OmniAb to their discovery capabilities and their discovery needs is of course a continued validation of the importance of the technology, but in terms of the deal structure, as you know from our portfolio, we've got over 200 fully funded partnerships over 120 different partners. One thing I can say with some assurances, no two partnerships are exactly alike economically and we pride ourselves on that in terms of finding ways to get deals done and that no different with the OmniAb technology.
Balaji Prasad: All right, thanks. My second question is on the coronavirus development. I mean you called it couple of times now -- called it out. So there's recent news flow on Wuhan Institute wanting to patent remdesivir for corona. So if they are successful, what does this mean for you? Do you have any kind of -- would they need to use Captisol too or do you have a way to getting to a partnership with them or doesn't mean that the Gilead portion of problem not materialize in terms of revenues for you?
Matt Foehr: Yeah, thanks, Balaji for the question. Obviously, the coronavirus space is a fast developing space. We saw the news yesterday as well on a patent filing in China. I think I saw a statement from Gilead. They've obviously already filed, they had already filed patents in China and they are obviously a partner of ours and we continue to supply them and make sure we're positioned to meet their supply needs, but as Gilead essentially said -- there's public narrative on this that they don't plan to get into a patent dispute, that their key focus on making the product available. Now if someone else were to create a molecule very similar to that, it's highly likely that, that molecule would also have solubility issues and that's -- it generally comes out of the design of the molecule and the structure of the molecule and things that have solubility problems, which remdesivir had very early in its development need a technology to dissolve it and solubilize it, which Captisol does effectively.
John Higgins: Just to add, our partnerships on Captisol are typically compound specific, not necessarily disease specific. So to the extent there was a different approach to treating coronavirus, there is a possibility for us to supply both parties.
Balaji Prasad: Okay, all right. My third and last question is a follow-up on your Iohexol program. So you're starting Phase 2a. What kind of investments do you envisage for this year and for next year?
Matt Foehr: Yeah, so the amounts around the Phase 2a are in our budget numbers, they are in our projections. As I said, we'll plan to file the IND in the second half of this year and initiate the trial in the second half of this year. It's a 140-patient study. So very manageable study in which we're going to be treating patients with impaired renal function undergoing invasive coronary angiography and then we'll be looking at a number of safety measures and quality of image measures.
Balaji Prasad: Thank you. Did you mention any number on the capital investments required?
Matt Foehr: Yeah, I mean it's a typical cost for a trial that's about that size, a few million dollars over the course of the length of the trial.
Balaji Prasad: Okay, thank you.
John Higgins: Thanks, Balaji.
Operator: And there are no further questions at this time. Presenters, you may continue.
John Higgins: Thank you. Appreciate people's attention and time here on the call. We have a few conferences coming up, a quick headline. Barclays has sponsored a Conference in Miami. We'll be presenting there on March 10th. Roth is having a conference, their annual event in Laguna Niguel, we'll be presenting March 17th and then H.C. Wainwright is having a conference in London, April 19 to 21, we'll be participating in that as well. Thank you for your time and interest and we look forward to updating you as the year goes on. Goodbye.